Operator: Greetings. Welcome to the Braemar Hotels & Resorts, Inc. First Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Jordan Jennings, Manager of Investor Relations. You may begin.
Jordan Jennings: Good morning, and welcome to today's call to review results for Braemar Hotels & Resorts for the first quarter of 2023 and to update you on recent developments. On the call today will be Richard Stockton, President and Chief Executive Officer; Deric Eubanks, Chief Financial Officer; and Chris Nixon, Executive Vice President and Head of Asset Management. The results as well as notice of the possibility of this conference call on a listen-only basis over the Internet were distributed yesterday in the press release. At this time, I'll remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. Statements made during this call do not contemplate an offer to sell our elicitation or an offer to buy any securities. Securities will be offered by means of our registration statement and prospectus, which can be found at www.sec.gov. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on May 7, 2023, and may also be accessed on the company's website at www.bhrreit.com. Each listeners encouraged to review those reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compared the first quarter ended March 31, 2023, with the first quarter ended March 31, 2022. I will now turn the call over to Richard Stockton. Please go ahead, Richard.
Richard Stockton: Good morning, and welcome to our 2023 first quarter earnings conference call. I will begin by providing an overview of our business and an update on our portfolio. Then Deric will provide a review of our financial results and Chris will provide an update on our asset management activity. Afterwards, we will open the call for Q&A. We have a few key themes for today's call. First, we're pleased with the continued momentum of our urban hotels, which achieved strong growth again this quarter, with comparable hotel EBITDA growth of $9.2 million in the first quarter over the prior year quarter. Second, during the first quarter we concluded the capital raising for our nontraded preferred stock offering. As we said, the offering has enhanced our capital position and allowed us to go on offense during an attractive time in the cycle. Third, we're pleased to note that the three hotels we have acquired this cycle are performing very well and have exceeded our original underwriting. Fourth, we continue to diligently execute and work through our refinancing program for 2023. And finally, we've said this before, it's worth repeating, Braemark's management team has been through many economic cycles. We are delivering against our long-term strategy and remain well positioned to capitalize on appropriate growth opportunities. Turning to our quarterly results. I'm pleased to report that Braemar delivered solid first quarter results despite a volatile macroeconomic environment. Our first quarter 2023 comparable hotel EBITDA of $72.8 million was driven by the continued strong performance at our resort properties and as we've outlined on prior calls, the continued momentum and strong growth from our urban hotels. Also, looking at RevPAR for all hotels in the portfolio, RevPAR increased approximately 8% for the first quarter of 2023 compared to the first quarter of 2022. Taking a closer look at our best-in-class luxury portfolio. Many of our hotels are well situated in attractive high barrier to entry leisure markets. 10 of our 16 hotels are considered resort destinations and they remain extremely well positioned to benefit from persistent leisure demand. For the quarter, we are very pleased to report that our luxury resort portfolio continues to outperform and delivered a combined hotel EBITDA of $64 million to start 2023. With respect to our urban assets, our first quarter performance was solid and exhibited strong growth for the eighth consecutive quarter. In fact, we generated $9 million of comparable hotel EBITDA and all six urban properties posted positive hotel EBITDA. We are very encouraged by the continued momentum and ramp-up of our urban hotels as demand quickly returns to our cities. This return continues to be driven by corporate transient with recent strength in corporate group demand. Overall, our urban portfolio is in solid shape and as demonstrated by our first quarter performance, we continue to believe our urban hotels will help drive the next phase of growth for our portfolio. Next, we remain very excited about our recent acquisition of the Four Seasons Resort Scottsdale at True North, which has exceeded our expectations and delivered RevPAR growth of 25% over the prior year period. As you may recall, the 210-room luxury resort was acquired in early December 2022 with cash on hand and no common equity was issued to fund the acquisition. Strategically, as demonstrated by its first quarter performance, it's a great addition to our portfolio and fits perfectly with our strategy of owning high RevPAR luxury hotels and resorts. The Four Season Scottsdale delivered RevPAR of $749 based on 53% occupancy and an ADR of $1,403. Our other acquisition from last year, the Ritz-Carlton Reserve Rate Beach also continues to perform very well. For the quarter, the Ritz-Carlton Reserve to Rotter Beach delivered RevPAR of $1,753 based on 56% occupancy and an outstanding ADR of $3,115. Over the trailing 12 months, the Ritz-Carlton Reserve Dorado Beach has achieved an 8.6% yield on cost while the Four Seasons Scottsdale achieved a 7.4% yield on cost. I'm pleased to note that these luxury assets have significantly outpaced our underwriting, and looking ahead to the balance of the year, we remain very excited about the prospects for these properties. Looking at our capital position, Braemar's balance sheet remains in good shape, and we continue to emphasize balance sheet flexibility. Towards this end, during the first quarter, we worked through our 2023 refinancing program to further enhance our attractive maturity schedule. In April, we finalized extensions of the mortgage loans for the Ritz-Carlton Sarasota and Hotel Yountville. Both loans were extended beyond their original maturity for an additional six months with 1 additional six month extension also available. We're also working with our lender on a refinancing of the mortgage loan secured by the Barestone Hotel and Spa, which has a final maturity in August 2023. This is a very low leveraged loan, and we don't anticipate any challenges with extending or refinancing it. Next, on the Investor Relations front, we continue to be active in meeting with investors to communicate our strategy and highlight the attractiveness of an investment in Braemar. We plan to continue to get out on the road, attending investor conferences and one-on-one meetings. And we also hope to see some of you at NAREIT in June. Looking ahead, 2023 is off to a solid start, and we are encouraged that our group pace is up 28% year-over-year. Our unique portfolio, which is focused on the luxury segment and with properties in both resort and urban markets puts us on solid footing to perform well in both the near term and the long term as leisure demand remains strong, and business and group travel continue to accelerate. We have the highest quality hotel portfolio in the public markets, and we remain well positioned with what we believe is a solid liquidity position and balance sheet with attractive debt financing in place. I will now turn the call over to Deric to take you through our financials in more detail.
Deric Eubanks: Thanks, Richard. For the quarter, we reported net income attributable to common stockholders of $3.2 million or $0.05 per diluted share and AFFO per diluted share of $0.44. Adjusted EBITDAre for the quarter was $66.1 million, which reflected a growth rate of 34% over the prior year quarter. At quarter end, we had total assets of $2.4 billion. We had $1.3 billion of loans, of which $49 million related to our joint venture partner's share of the loan on the Capital Hilton and Hilton La Jolla Torrey Pines. Our total combined loans had a blended average interest rate of 6.3%, taking into account in the money interest rate caps. Based on the current levels of LIBOR and SOFR and our corresponding interest rate caps, approximately 74% of the company's debt is effectively fixed and approximately 26% is effectively floating. As of the end of the first quarter, we had approximately 37.1% net debt to gross assets. We ended the quarter with cash and cash equivalents of $281.5 million and restricted cash of $63.1 million. The vast majority of that restricted cash is comprised of lender and manager held reserve accounts. At the end of the quarter, we also had $19.1 million in due from third-party hotel managers. This primarily represents cash held by one of our brand managers, which is also available to fund hotel operating costs. With regard to dividends, in December we announced a significant increase in the company's quarterly common stock dividend to $0.05 per share or $0.20 per diluted share on an annualized basis. This equates to an annual yield of approximately 5.3% based on yesterday's stock price. The Board also approved the company's dividend policy for 2023. The company expects to pay a quarterly cash dividend of $0.05 per share for 2023 or $0.20 per share on an annualized basis. Reflecting a strong conviction and bring our strategy and our commitment to create long-term shareholder value, in December, we also announced a stock repurchase program of up to $25 million. During the first quarter, we completed the $25 million buyback program and acquired 5.4 million shares at an average price of $4.60 per share. On the capital markets front, subsequent to quarter end, we finalized an extension of our $98 million mortgage loan for the 276 room Ritz-Carlton Sarasota. The loan was extended beyond its original maturity in April 2023 for an additional six months with one additional six month extension available. As extended the Ritz-Carlton Sarasota loan has a rate of SOFR plus 2.65% then will reset to SOFR plus 3.5% on June 1, 2023. In connection with that extension, the company purchased a SOFR interest rate cap at a strike of 5.25% with an expiration date of October 4, 2023. We also finalized an extension of our $51 million mortgage loan for the 80-room Hotel Yountville. The loan was extended beyond its original maturity in May 2023 for an additional six months with one additional six month extension available. As extended, the hotel Yountville loan has a rate of SOFR plus 2.55% that will reset to SOFR plus 3.5% on July 1, 2023. In conjunction with this extension, we purchased a SOFR interest rate cap at a strike of 5.25% with an expiration date of November 10, 2023. As of March 31, 2023, our portfolio consisted of 16 hotels with 3,957 net rooms. Our share count currently stands at 72.8 million fully diluted shares outstanding, which is comprised of 66 million shares of common stock and 6.9 million OP units. This concludes our financial review. I'd now like to turn it over to Chris to discuss our asset management activities for the quarter.
Christopher Nixon: Thank you, Deric. For the quarter, comparable RevPAR for our portfolio increased 8% over the prior year quarter to $369. This RevPAR result is approximately 27% higher than the national average for the luxury chain scale and reflects the high quality nature of our portfolio. I would like to spend some time highlighting how our team has capitalized on the urban recovery built a foundation around group demand and implemented successful initiatives at our newly acquired hotels. Our urban assets continue to benefit from the acceleration of demand into their markets. For our urban assets comparable hotel total revenue in the first quarter surpassed the prior year's first quarter by 62%. This increase was led by our largest hotel, Capital Hilton, which reported comparable RevPAR growth of 126% over the prior year quarter. This achievement is noteworthy for a couple of reasons: one, the hotel is under a transformative guest room renovation throughout most of the first quarter; and two, the hotel exceeded the market RevPAR growth of 73%. We attribute the success to our partnership with Premier who is handling the renovation and the successful implementation of their stealth renovation program, which minimizes displacement and our overall revenue optimization strategy, which identified softness in the market and proactively focused on building a foundation of group business. That emphasis to develop the foundation of group business at our hotels as well as the return of major events and conferences propelled our group room revenue for the first quarter ahead of the prior year's first quarter by 57%. Comparable group room rate is up 8% relative to the prior year's first quarter. We also saw excellent signs from our group booking volume in the first quarter, where revenue placed on the books for all future dates was up 16% relative to the prior year's first quarter. Our group pickup, which is defined as group room revenue booked during the quarter for stage within the same quarter was strong. At the beginning of the quarter, we had approximately $18.5 million in group room revenue on the books and ended with approximately $26 million. That is a 41% increase in total group room revenue for the quarter based on stays booked within the same quarter. In comparison, the pickup last year was only 6%. While we are excited about the progress we are seeing in long-term group bookings, we plan to utilize our leverage throughout the current short-term booking environment to maximize our pricing strategy. All of these efforts and more have contributed to the overall success of the portfolio during the first quarter in 2023. It is worth noting just how successful the first quarter was in terms of hotel performance, with four of our hotels setting all-time first quarter records in hotel EBITDA, including our two most recent acquisitions, the Ritz-Carlton Reserve Dorado Beach and the Four Seasons Scottsdale. During the acquisition process, our team created a detailed takeover plans for each hotel including strategic opportunities to improve both top and bottom line. For the Ritz-Carlton Reserve Dorado Beach, our team focused on items that would move the needle immediately, including increasing pricing in our F&B outlets, optimizing the cabana rental program, enhancing our digital marketing efforts and implementing an ancillary sales and upsell program. Our Four Seasons in Scottsdale experienced similar successful initiatives as well as benefited from a demand source through Super Bowl weekend, which resulted in more than $3.2 million of room revenue over a four day period. That is a 427% increase year-over-year in room revenue for that period. Moving on to capital investment, we have invested heavily in our portfolio over the last several years to enhance our competitive advantage. These investments uniquely position our portfolio to benefit a pent up demand that we are currently seeing in our markets. As previously mentioned, we are currently renovating the guestrooms at the Capital Hilton. Later this year, we plan to start guestroom renovations at Bardessono Hotel & Spa, Hotel Yountville and the Ritz-Carlton Lake Tahoe. We also plan to begin renovating the meeting space at Park Hyatt Beaver Creek, the spa areas at the Ritz-Carlton Sarasota and the Ritz-Carlton Lake Tahoe as well as adding a lobby retail outlet at Ritz-Carlton Lake Tahoe. For 2023, we anticipate spending between $70 million and $80 million on capital expenditures. I would like to finish by emphasizing how optimistic we are about the future of this portfolio. As I mentioned earlier, our urban assets are experiencing strong demand. Group business continues to show immense growth and a number of our assets continue to break comparable hotel EBITDA records. We are already launching new initiatives to further enhance our portfolio. Some of these include transformative full property renovations, developing underutilized lands and key additions, such as the recent acquisition of 3 keys at Park Hyatt B Recreek in January of 2023. With these new initiatives underway, we are confident that the portfolio will continue to operate.
Richard Stockton: Thank you, Chris. In summary, we continue to be pleased with the trends we are seeing in our hotels driven by strong leisure demand at our luxury resort properties and the continued recovery of our urban properties. We see a clear path for continued strength in our future financial results. We are very well positioned moving forward with a solid balance sheet and the highest quality portfolio in the publicly traded hotel REIT market. We look forward to updating you on our progress in the quarters ahead. This concludes our prepared remarks and we'll now open the call for Q&A.
Operator: Thank you. And at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Thanks. Good morning, everyone.
Richard Stockton: Good morning.
Michael Bellisario: Just first topic for Deric. Can you maybe talk about the conversations that you had with your lenders for those recent extensions? What are they asking for generally? What are you looking for? And then maybe secondarily, where were you in the process? Before all the banking turmoil occurred and I assume that's what derail the more fulsome refinancing or extension package for the two loans so far and plus the third one coming up?
Deric Eubanks: Yes. Thanks, Mike. Actually, the banking issues or crisis that we've been bringing about in the headlines, we haven't spillover of that into our world. And so, what you're seeing there had no impact on kind of what we're doing on the refinancing front. We're in a bit of a unique situation in that our three final maturities this year are all property level mortgages with the same lender. And so, what we did there is we did some short-term extensions, which gives us a lot of flexibility, but we're also in the process of hopefully working on a more fulsome corporate level financing where we could use those assets as a borrowing base, get an undrawn credit facility and have more flexibility from that perspective. And I think that market, while -- look, none of the hotel debt markets are attractive at the moment, that is one area that is currently a little more attractive than a straight up hotel mortgage today. And so ideally, that's where we'd like to end up at some point. It remains to be seen when where that would happen. But those extensions give us that flexibility and the time that we need to work on that, what I'll call a more fulsome corporate type financing. So we're pleased to get the extensions completed. Those assets and those loans are at spreads that can really be replicated in today's mortgage market. So we were happy to get it done the way that we got it done.
Richard Stockton: Yes. And I'd just add as a point is that, historically, we've only really dealt with large money center banks, right, the systematically important banks. Most of our loans are with BAML, which is the second largest bank in the country. So we've been completely insulated from this volatility and pull back from lending in the small and medium-sized regional banks. So we feel really confident about our balance sheet and what we have to do going forward shouldn't be a big lift.
Michael Bellisario: Got it. And then my follow-up on the transaction front, it's sort of related to my first question, but maybe you sort of partially answered it already, Richard. Just are you seeing any opportunities emerge there? And then maybe is there any reason to be a little bit more cautious or pause until maybe you have more clarity on what you're going to do on the balance sheet side of things with the upcoming refinancings? Or do you view those as two separate avenues that are independent of one another?
Richard Stockton: No, I think you hit the nail on the head. We do want to, as Deric said, restructure our liabilities to minimize cost of debt. And without knowing precisely where that settles, we're unlikely to be going hard on any acquisitions until it's done. That said, the acquisitions game is a long game, right? And so you're -- even now still we are having active dialogue around opportunities because many times they just take several months, if not years to play out. So typically in the assets that we're looking at, right, which are the much more unique luxury assets. These aren't commodities, right? You don't just decide this month, we're going to buy X number of hotels. So we're still off to looking. I will make no comment on the acquisition market to say that we're finding that sellers frankly are still a little bit unrealistic as to pricing, right? I've got four and five caps coming across my desk and I just giggle, right? Because it's -- this is not realistic. So we're out there, we're looking. We also have to maybe wait for this kind of new weighted average cost of capital to settle in and for some sellers to get more realistic about what their assets are worth.
Michael Bellisario: Helpful. Thank you very much.
Operator: Our next question comes from the line of Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: Hey, good morning, guys. Thanks for taking the question. So I guess, first, Richard, regardless of the how the debt situation might play out in these hotels. I mean, do you view Chicago and the two autographs is kind of still core to the long-term portfolio?
Richard Stockton: Yes, that's a good question. Good morning, Chris. No, I think absolutely. I think there's more room to run on each of those assets. In the case of Sofitel, we had a little bit of a dispute with the manager there that lasted a couple of years. We settled it in a place that felt was much more favorable to us and have seen improvement in the performance of that asset and of that management team. So we're still giving that time to play out and really get that asset up to its long-term potential. In the case of the two autographs, maybe it's just a little bit personal for me, but I got very excited about those renovations. I believe the quality of those properties has been enhanced very, very significantly since they were courtyards some four years ago. And I do think we still have time to realize the potential in those assets.
Christopher Nixon: Yes. I don't -- I would just add to that. The time that we converted those hotels, and we've renovated those hotels at the end of 2019 and into 2020, we have not yet realized the upside from the upper ending. And so we're very excited about that. I think as we look at our Notary Hotel in Philadelphia, the hotel is significantly outperforming the market, and we attribute that largely to the brand as well as some of the strategies that we've implemented there. I think when you look at the Clancy in San Francisco, we've kind of lived through the worst of that market, and now it's on a significant upswing with very high trajectory, very strong year-over-year growth. We're starting to see encouraging signs from Citywides coming back into the market. They had two very successful Citywides, American Social Oncology and [indiscernible] And then JPMorgan was canceled last year and has come back. And so, when we look at that hotel, we found some value-add opportunities. We've added some meeting space to the hotel that we haven't realized the upside on. It's got a brand new fitness center. So we're excited, and we feel that both of the properties have significant runway ahead of them that we haven't realized yet.
Chris Woronka: Okay. Great. Appreciate all the detail. And then, I don't know, Richard or Chris, can you give us a quick -- I know you guys have a lot of, I guess, excess real estate opportunities. You've talked about development potential or I guess you could always look to sell them and I think we're talking about Scottsdale and Beverly Hills and maybe even still something in Sarasota. Can you give us a quick one on where you are on some of those things and what you might like to do or look to do in the next year or so?
Richard Stockton: Yes, yes, sure. So we have a couple of different things in what you’ve asked. One is, we do have three development parcels in the portfolio, and then we have some condominiums that are available for kind of midterm rental at Beverly Hills. So those -- I'll start with the condominiums first. We have five condominiums that were restricted at a minimum 30-day stay. So we are evaluating whether or not it would be a good time to sell one or more of those to an owner-occupier. Unfortunately, we're still in a period of very high mortgage rates, which is probably putting a little bit of a damper on the residential market. So it could make a little bit of sense to wait until that trajectory reverses for the inevitable Fed pivot, which we are all looking forward to in the next, however, many months. But that -- ultimately, they will be monetized. In terms of the development parcels, there's three. So we have 3.5 acres at the Ritz-Carlton Lake Tahoe. We are well advanced with Plaster County on getting entitlements to build 18 townhomes there. And we're hoping to have a sales center up and running by the end of the year to be able to presell those into the ski season. And so, that project is moving along very favorably. The idea would be to then break ground next May when the window, there's a construction window in that region, when the window opens for construction and for grading. So excited about that one. In terms of -- that's the first development parcel. Second development parcel is Ritz-Carlton Sarasota, where we're working through a plan to develop 50 branded residences, single-family homes. And we are pretty advanced in the concept planning for that, and we'll be finalizing the budgets for that probably in the second half of this year. But that's something that you'll see us break ground on probably in -- end of 2024 or 2025. Things just take a lot of time in terms of getting the requisite approvals. And then lastly, with the early stages of assessing the almost six acre parcel at the Four Seasons Scottsdale. And there, we do have a commercial zoning available to us that would allow us to build additional hotel keys. We believe that the hotel is under suited. And so that could be an option to build some additional suites there. And then there's also a pretty strong market for additional spa and wellness activities and facilities. And so, that's something else that we're working on. We did inherit a plan from the seller around that. That Four Seasons has been very heavily involved in as well. And so, we've got a little momentum behind that initiative as well. But I'd say that the timing on that is a little less certain at this point, given we don't have a final conceptual plan yet. That's kind of where we are.
Chris Woronka: Yes. Very good, very helpful. Thanks, Richard.
Operator: Our next question comes from the line of Bryan Maher with B. Riley Securities. Please proceed with your question.
Bryan Maher: Yes. Good morning. Kind of circling back to the refinancing that you did and the comment on moving towards more of a fulsome solution -- is there a strategy shift here at Braemar to move from kind of nonrecourse mortgage debt similar to what Ashford Trust has done forever to more of a holistic approach. And when you think about how in the past you've favored floating rate debt versus fixed rate debt, we keep hearing everybody's got to keep buying these caps on extensions and what have you. How do you think about the cost of those caps when making that decision on the floating rate debt versus the fixed rate debt?
Deric Eubanks: Yes. Thanks, Bryan. It's Deric. So on your first question in terms of strategy shift. I mean, I wouldn't say it's a significant strategy shift, but we had a corporate credit facility at Braemar prior to the pandemic and we drew down and we even converted it into a term loan and then we ultimately paid it off with the senior notes that we issued. So it's kind of going back to kind of where we were pre-COVID. So there's not a significant strategy shift. I think we'll still utilize the mix of property level mortgage debt as well as corporate level debt at Braemar. As you know, Braemar has a little bit lower leverage strategy than Ashford Trust, which you referenced. So we think it makes sense to utilize a little bit more of a mix in terms of the financing that we utilize at Braemar. So in terms of the caps and the cost of the caps and how do we take that into account when we're looking at fixed rate financing versus floating rate financing. You're right, we do have a preference for floating rate financing. There's multiple reasons why we do that. Obviously, right now, we're in this period of time where if you've been a floating rate borrower, you've seen rates go up quite a bit and we've had caps in place and those caps have kicked in, but rates go up, rates go down. And we view it as a natural hedge to our business that the profitability of hotels tend to go up and down with the economy. And we also like the flexibility that floating rate debt provides versus fixed rate debt. So there's a lot of reasons why we tended to focus on floating rate financing. I think you'll continue to see us have a mix. We've got a mix right now. I think we'll continue to have a mix going forward. So I don't think we'll be 100% one way or the other. And if you look at the forward curve of interest rates, it shows rates dropping pretty significantly over the next couple of years. So now really wouldn't be an ideal time to lock in fixed rate debt. Although having said that, I think you'll also see us kind of do a little bit of both. And I wouldn't say we wouldn't go do a fixed rate loan at the moment with some of the maturities that we have coming up just because the floating rate market is really not attractive. And so, there's just a lot of factors that go into play when we're making those decisions. Obviously, the cost of cap is something that is very volatile. It changes. They can go from being very, very cheap to being very, very expensive. And kind of that's where we are right now with the caps that tended to be a little bit more expensive. So that's kind of my comment there.
Bryan Maher: Okay. Just kind of shifting gears to the acquisition front. And I heard, Richard, what you said about laughing at some of these four and five caps, and we would agree. But to the extent that the prognosticators are correct and we see -- I don't want to say a tsunami but a large amount of kind of larger gateway type properties that just can't get financing or had difficulty getting financing later this year. Is there the ability to like reopen or start a new non-traded preferred issuance to tap into that kind of 8% to 8.5% money, should you be able to find something that is from a value standpoint to go to turn?
Richard Stockton: Yes, Bryan, thanks for that question. There is always the ability to file for a new non-traded preferred equity offering. It would be kind of given that we've already done it before, it would probably be able to happen relatively quickly within a matter of a few months. At the cost that you referenced, I think if we were to do it, we would want to do it at a cost that is below where our inaugural issue came out and what we understand from our friends in the broker-dealer community is that this retail market is a little bit less sensitive to rates than maybe the institutional markets, so we may be able to do that. That said, the other thing we're keeping a very close eye on is our capital structure. And with something like 25% of our capital structure in preferred equity right now, is that enough? Personally, I believe it is, at least for now. So I hear you that there may be some good opportunities that we want to avail ourselves of in the future. We'll definitely keep an eye on that. And rest assured, we can quickly pivot to access that market if the opportunities are there.
Bryan Maher: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Tyler Batory with Oppenheimer. Please proceed with your question.
Tyler Batory: Hi. Good morning. Thanks for taking my questions. A couple on just trends in the portfolio and what you're seeing out there. Can you talk about how April is shaping up, perhaps compared to margin? There's concern out there in the market about demand slowing, especially the high-end leisure customer or perhaps softer pricing power as well. So just kind of interested what you're seeing real time? And also just what you're seeing in terms of bookings for the rest of Q2?
Christopher Nixon: Yes. Thanks for your question, Tyler. This is Chris. I'll take this. We're largely seeing the trends that we experienced in Q1 kind of pulling forward and continuing. Our urban hotels are continuing to performed very well. They're pacing very well relative to last year. Our resorts continue to stabilize. And we see a lot of those trends kind of pulling forward. I think Richard cited in his comments, group pace is very strong for the entire year. And so, we're encouraged by that. We're seeing great strength out of our short-term group bookings. So the fact that, that pace for the full year is well ahead of prior year, and we're seeing continued short-term strength is a great sign. BT is improving. That's showing no signs of slowing down. I think as we look to Q2, some of the comparables will be at play. This portfolio had a very strong March and April of 2022. Just coming out of Omicron, there was a lot of pent-up demand. And the incredible hotels in this portfolio is where folks wanted to travel to first. And we saw a huge surge in bookings last year for March and April. There's also going to be some kind of tax anomalies. We realized a significant tax assessment last year in April that will play into the comparables. So we've got some tough comparables as we kind of look ahead into Q2. But with that said, in terms of the business and the trends we're seeing, they're still very, very favorable. From a margin standpoint, we're happy with margin performance in our portfolio. ADR is up in our luxury resorts, 50% to pre-COVID. And with that comes very, very high expectations from the consumer. So we're very pleased that we continue as a portfolio as a whole to run more efficient operations. For the first quarter, our departmental expenses were down 5% on a PLR basis to prior year. And there is a lot of efficiencies there that we believe we're going to be able to pull forward. So on the whole, again, just a continuation of kind of what we've seen, Urban will continue to be strong, resorts will continue to stabilize and the segment's group and business transient continue to improve.
Richard Stockton: Yes. I would just add to that, Chris. One of the things that's unique about our portfolio when we do this composition is, we recovered much more quickly than our peers. And we're -- I feel like we're at least a year ahead in terms of recovery, meaning that we had an outstanding year last year. And it does make us say they make for tough comps. But it's difficult to then feel that we should be penalizing ourselves for that, right, because we had such a fantastic year. So that's why I look at things like yield on cost, right, how our assets yielding, what is the cash flow generation looking like and it's very, very strong. And we started publishing that information in our company presentation, and it continues to be strong. So we have a very strong base of what I would call kind of plateauing resort demand -- resort properties and the growing urban segment, and that puts us in a great position to generate lots of excess cash flow.
Tyler Batory: Okay. A follow-up on some of the commentary there. I'm interested specifically on the EBITDA margin side of things. I mean, how did margins come in, in Q1 versus your budgets versus your expectations? And when we look at the performance in 2022, do you think it's reasonable that you could be ballpark around the same level in 2023? Or do you kind of look at 2022 overall, perhaps a little bit of an extra benefit there just given the rates were so strong, perhaps earlier in the year, did have full labor base at some of your properties?
Christopher Nixon: Yes. That's a great question, Tyler. So our EBITDA margins were down 11 basis points to last year and some of the dynamics that are at play there. ADR was down 8% to prior year. And then when you look at our composition of revenues, we had F&B revenues that grew at 16% the prior year and rooms revenue that grew at 8% the prior year. And so F&B revenues typically run a significantly lower margin than rooms. And so there were a couple of dynamics there that were impacting that. And then we had a big win from a property tax standpoint. So at our Sofitel Chicago, they realized a 2022 tax reduction in February of 2023, that was over $2 million. And so that certainly played in and helped our margins. There's going to be some noise, as I mentioned, as it relates to EBITDA margin as we realized a significant tax reduction in Q2 of 2022. But on the whole, as we look at it, we're running more efficient operations. We're seeing improved productivity across our hotels. When we look at EBITDA margins to prior year, I think what's happening in the aggregate of the portfolio will be at play. A lot of our urban hotels that carry a lower RevPAR are growing significantly, and our highest RevPAR hotels are stabilizing. And so the weighted impact of that could be a decline in RevPAR for the portfolio as a whole, could be a decline in ADR as kind of those weightings are shifting based on the composition changes within the portfolio. And that's some of the challenges with this particular portfolio looking year-over-year. But as we compare to kind of pre-COVID levels and EBITDA margin and rooms margin in 2019, we're significantly ahead. So I do think there's going to be some noise as we kind of go quarter-to-quarter. But on the whole, we're very happy with kind of our labor models, the efficiencies of our hotels and how we're staffing and running the hotels.
Richard Stockton: Yes. And Tyler, I would add to that. We hear people comment on the impact of COVID on your labor model, labor structure and all of that. I do subscribe to the belief that we have found 100 to 200 basis points of permanent margin improvement. And that's how we think about the business moving forward. We're running at a little over 10% lower number of FTEs than we did pre-pandemic. And I'd say that we are basically fully staffed up. I mean there might be some pockets where we can add some people, but that's really going to be more converting contract labor to full time, which would result in additional cost savings. So, I think in terms of lessons from COVID, I think we've come out of it in a better place. And longer term, it's going to benefit shareholders.
Tyler Batory: Okay. A few other follow-up questions. The urban improvement, urban [indiscernible] it's nice to see that. I mean is that kind of -- is that being driven by leisure? Is that corporate travel? Is it kind of mid-week? And then you're interested in your perspective on San Francisco specifically seem to be a wide variety of different headlines out there in terms of the outlook for real estate in San Francisco, broadly, tech layoffs, regional banking issues, et cetera. Just kind of curious what your perspective is on San Francisco and the outlook this year and the next couple of years there?
Christopher Nixon: Yes, Tyler, I can shed some color on that. So I mean, broadly across our urban hotels, we're seeing -- I mean, the improvements are significant. We were up 60% year-on-year, and that's really coming from all segments. But the biggest recovery segments are group and corporate transient. And with our portfolio and the size of the portfolio, it really is market by market. In Philadelphia, our Notary Hotel outperformed the broader market because they were able to land one of the largest accounts in the market, Comcast. And they got significant corporate production out of them. Cap Hilton was under renovation and March was actually the second highest revenue month in the history of the hotel, and that was due to strong, strong group production. Our team went out and proactively sourced self-contained in-house groups and really built a strong group base to kind of overcome some of that market softness. And so it really is kind of market specific. We're doing a lot of remixing in Chicago at our Sofitel Hotel. We've got away from some wholesale business because we've seen strong group demand. I think Group at that hotel is up 15,000 room nights year-on-year. We're seeing strong corporate consortium. It's allowing us to mix away from some of the lower business. So it really is all segments. Specifically, in San Francisco, our Clancy hotel, while we were down 22% to 2019, they were up over 70% of last year. And so the market continues to lag. But again, we're seeing very strong signs of recovery year-on-year. I mentioned kind of the citywide production that was fairly strong in Q1. We're also seeing some great signs out of corporate production, specifically consulting growth firms and financial services. Tech is definitely lagging. We're seeing -- there are some effects from the layoffs in terms of travel from those large accounts. But we remain optimistic in terms of what we're seeing in our single hotel in San Francisco.
Tyler Batory: Okay. And then I think the last topic, the share repurchase, you bought back some stock in Q1 here, you use that authorization. I mean, any thoughts on kind of extending that or increasing that in the future? I mean, how do repurchases fit in, so how you're thinking about capital?
Richard Stockton: Yes, Tyler, good question. We're always assessing it. We're always evaluating. It's clearly a Board decision. So -- that's about all I can tell you is, we'll continue to look at it. I think suffice to say that we're very disappointed with the multiple we're getting on our stock right now. It is a very attractive investment. We see that. As we said in the past, it's kind of this fighting conflicting priorities, right, because we're -- if we do buybacks, we're increasing leverage and reducing our market cap. But look, it's a fair question, and we'll continue to evaluate whether or not we launch a new share buyback.
Tyler Batory: Okay. That’s all from me. Thank you very much for the detail.
Operator: And we have reached the end of the question-and- session. I'll now turn the call back over to management for closing remarks.
Richard Stockton: Thanks, everyone, for joining us on our first quarter earnings call. We look forward to speaking with you on our next call and hope to see many of you at the NAREIT Conference in New York in June. Have a good day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.